Operator: Hello everyone, and welcome to the Cineplex Inc. Fourth Quarter 2022 Earnings Conference Call. My name, Daisy, and I'll be your moderator for today. [Operator Instructions] I would now like to hand over to your host Mahsa Rejali, Executive Director, Corporate Development and Investor Relations to begin. So Mahsa, please go ahead.
Mahsa Rejali: Good morning, and welcome. With me today is Ellis Jacob, our President and Chief Executive Officer; and Gord Nelson, our Chief Financial Officer. Before I turn over the call to Ellis, let me remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management's beliefs and assumptions regarding the information currently available. Actual results could differ materially from those expressed in the forward-looking statements. Factors that could results -- cause results to vary include, among other things, the negative impact of the COVID-19 pandemic, adverse factors generally encountered in the film exhibition industry, risks associated with other national and world events, discovery of undisclosed material liabilities and general economic conditions. Following today's remarks, we will close the call with our customary question-and-answer period. I will now turn the call over to Ellis Jacob.
Ellis Jacob: Thank you, Mahsa. Good morning, and welcome to our Q4 and year end 2022 conference call. We are glad you could join us today. Before we review the fourth quarter results, I'd like to address two important topics that I know are top-of-mind with our investors. Namely, the industry box office recovery and Cineplex strategies for continuing growth in the current economic environment. In assessing the future state of box office recovery, there are two primary drivers we are monitoring closely. First is consumer demand. And the second is content supply. We have been pleased to see demand for movie going increased as our theaters reopen. Looking back over the last year there are many examples that stand out, which demonstrate the resilience of movie-going. In May of last year Doctor Strange in the Multiverse of Madness delivered 75% more domestic box office revenue than the original release in 2016. Also in May, we saw Top Gun Maverick become the fifth highest domestic grossing film of all time after a remarkable 30-week run. Last July, Minions: The Rise of Gru set a record for largest fourth of July weekend in box office history and a few months later, Black Panther: Wakanda Forever broke the record for the highest-grossing November weekend of all time. And while negatively impacted by winter storms in North America during its opening weekend in December, Avatar: The Way of Water has since demonstrated its sting power. Avatar is now the fourth highest-grossing film of all-time crossing the $2 billion mark in global box office and still going strong and attracting audiences, as we speak. These record-breaking results and others like them over the past year demonstrate a point you hear me say on each and every one of these calls when there is compelling content consumer enthusiasm for theatrical movie-going is as strong as ever. Even more promising is that we continue to see significant growth in attendance for premium offerings even in the midst of recessionary concerns. This quarter, we delivered an all-time quarterly BPP of $13.06, an increase of 6.3% over the prior year. And a CPP of $8.93, an increase of 19.2% compared to Q4 2021. These results are further validation then when guests enter our theaters they treat themselves, the full escape our venues offer. Investments and premium experiences in our theaters continue to deliver returns as an impressive 50% of box office revenue in the fourth quarter was derived from premium formats. Not only is this a record for us, but it's also the highest percentage for any exhibitor North America, Avatar: The Way of Water is breaking records when it comes to premium experiences accounting for Cineplex's highest 4DX, Screen X and VIP Cinemas viewings in our history. Having said that, like our exhibition peers around the world, our business continues to be impacted by COVID-19-related production delays. Content supply, remains a near-term industry challenge. For example, both Aquaman and the Lost Kingdom and Shazam! Fury of the Gods were originally slated for the fourth quarter of 2022 but were moved into 2023. Such shifts and delays resulted in the overall volume of major releases in fourth quarter 2022, recovering to approximately 70% of the fourth quarter of 2019. These shifts also led to a fewer number of wide release titled in this quarter as compared to the fourth quarter of 2021, leading to lower year-over-year attendance. As we move forward however, we have full confidence in the ongoing recovery of content supply as COVID-19-related production delays subside. Studios are clearly recognizing the promotional and financial value of a theatrical release window. We are still the engine that drives the train and we are encouraged by recent large commitments from nontraditional studios. These commitments further validates the importance of the cinematic experience and the royalty theatrical exhibition plays in elevating content to its full financial potential. The remarkable performance of the horror film Smile proves exactly this point. Smile was originally slated for direct streaming, but instead was given an exclusive theatrical release. After nine weeks on the big screen, the film generated over $200 million at the global box office. As I referenced on our Q3 earnings call, last October we reached an agreement with Netflix for the theatrical release of Glass Onion: A Knives Out Mystery. The film performed extremely well and generated an estimated $15 million at domestic box office over a seven day period and fewer than 700 theaters, including ours. And just last week, Amazon announced the exclusive theatrical window for the release of the Ben Affleck and Matt Damon, Nike film, Air. These examples and others like them continue to highlight the power of theatrical exhibition in elevating the overall success of movie content. In addition to nontraditional studios, we're also broadening our content opportunities by expanding our distribution business, Cineplex Pictures. Last month, we announced a Canadian theatrical distribution agreement with Lionsgate for its 2023 film slate, which will bring 11 titles to the big screen and create additional distribution fees for Cineplex Pictures. We are excited to bring these titles to Canadian audiences, which include exciting titles like John Wick: Chapter 4, Are You There God? It's Me, Margaret, and Hunger Games: The Ballad of Songbirds and Snakes. This is an addition to the ongoing successful efforts we are seeing with alternative programming through Cineplex Events, as well as the growing importance of international film product to our business. Without a doubt Cineplex is an industry-leader in international cinema programing consistently over-indexing the North American market share, particularly with Bollywood product. Pathaan, the recent Bollywood feature in January of this year, generated the highest-ever opening weekend for a Bollywood title in North America and even outperformed Hollywood Avatar: The Way of Water then in it's six-week. Cineplex again took the number one position in North America with 27% of the market-share for this film and we continue to grow more than 3x the domestic average in our circuit. We also saw great success with the film, The Wandering Earth 2, which is now Cineplex's number one opening for a Mandarin language films. And of course, we were pleased to see RRR make Bollywood history as the first Indian feature film to be nominated for an Oscar outside of the international film category. The bottom line is that we are focused on expanding our content offerings to appeal to wider audiences and drive incremental attendance. While this doesn't fully close the content gap resulting from production delays, it gets us closer. This is particularly evident at Cineplex outperformed the fourth quarter North American box office recovery compared to 2019 levels by a notable 533 basis points. These results also benefited from our team's efforts to drive attendance through strategic marketing and loyalty initiatives. We will continue tapping into our rich customer data for personalized content engagement and targeted Cineplex offers. This allows us to introduce moviegoers to alternative content, up-selling campaigns to our premium experiences and do everything we can to ensure our guests always have a memorable escape when they're in our venues. Speaking of venues, this quarter we celebrated the grand opening of our first Cineplex Junxion location. This is a new concept for us that, features multiple entertainment options, including movies, gaming, live events and expanded food and beverage offerings all under one roof. Our first location Cineplex Junxion Kildonan opened to much fanfare in December in Winnipeg, Manitoba sorry, replacing an older theater. Junxion provides additional revenue per square foot by driving incremental attendance and spend from the expanded offerings. While it is still early days, Cineplex Junxion Kildonan is performing extremely well with metrics, exceeding our internal projections, which is welcome news as we work towards opening our second location in mid-2023. Our first Junxion location is a great example of asset optimization, a key focus for us in the current exhibition landscape. In addition to novel concepts like Junxion, we are also exploring other ways to optimize the results from exhibition footprint. We continue to advance our data analytics capabilities to increase operating efficiencies improved film bookings and enhance our marketing efforts. Overall, we remain disciplined and focused on maximizing the use of our square footage and resources driving attendance and effectively managing costs. Turning your attention to our fourth quarter results, despite the 10.1% year-over-year attendance decline, our revenue grew 16.7% to $350 million and adjusted EBITDA increased 54.5% to $31.2 million. Looking at our segmented results while exhibition performance, was impacted by the content supply challenges that I spoke to earlier, our diversified businesses delivered very strong fourth quarter results and continue being an important pillar in our growth. We are particularly pleased with our Amusement and Leisure segment, which continues to outperform pre-pandemic results on both the revenue and bottom line metrics. During the fourth quarter LBE same-store sales reach 2019 levels and P1AG same-store route revenue exceeded 2019 level. In addition to strong top line demand P1AG and LBE record quarterly EBITDA results showcase our team's ability to effectively manage costs. On the media side, we remain encouraged by strong signs of recovery for Cineplex Media and Cineplex Digital Media, both showing significant improvement in overall revenues for the quarter. With further content supply and mall traffic recovery underway. We expect further momentum in these divisions, moving forward. Overall, we are pleased with our fourth quarter results, which we believe illustrate the effectiveness of our strategies to manage the current fluid environment. Gord will speak to the numbers in more detail shortly. But before I pass things to him, I want to address the ongoing litigation with Cineworld. As you know Cineworld remains under Chapter 11 bankruptcy and we continue to work closely with our advisers to consider any value optimization opportunities. I have no further comment. But this remains an important priority for us. With that, I will turn things over to Gord.
Gord Nelson: Thanks, Ellis. I'm pleased to present a condensed summary of the fourth quarter results for Cineplex Inc. Further reference, our financial statements and MD&A have been filed on SEDAR and are also available on our Investor Relations website at cineplex.com. Our MD&A and earnings press release includes a fulsome narrative on the operational results, so I will focus on highlighting and quantifying some of the key operating results. And provide commentary on our liquidity and outlook. As Ellis mentioned, we were pleased with our Q4 operating results, we reported adjusted EBITDA of $31.2 million. And although the Film Exhibition segment faced some film release schedule challenges, our diversified business model continues to deliver with our Amusement and Leisure business reporting its strongest quarterly adjusted EBITDA ever. For the fourth quarter, total revenues increased 16.7% to $350.1 million from $300 million in the prior year. Net income was positive $10.2 million as compared to a net loss of $21.8 million in the prior year. And adjusted EBITDA increased 54.5% to $31.2 million from $20.2 million in 2021. Film Exhibition and Content segment box office revenues were approximately 66% of the pre-pandemic period for 2019. And total segment revenues were approximately 75% of the pre-pandemic period. The Film Exhibition and Content segment adjusted EBITDA of $4.6 million, decreased from $9 million in the prior year, primarily related to the attendance decline which Ellis mentioned in his remarks. And this was due to fewer releases this quarter due to schedule shifts. On the media side of the business, we reported our fourth quarter Media segment revenue of $44.1 million as compared to $32.5 million in the prior year. The increase was primarily due to Cinema Media, revenue per patron increasing 25% to $3.33 from $2.42 in the prior year. Comparison to the pre-pandemic period our Media segment revenue was approximately 64% of our Q4, 2019 levels. But this was impacted by strong hardware sales in Q4, 2019 with one client in our digital place-based media business. If we excluded hardware sales, our overall Media segment revenue would be approximately 71% of Q4, 2019 levels. The results in our Cinema Media business are encouraging as we generated 72% of Q4, 2019 level with 55% of the attendance level. Our overall Q4, Media segment adjusted EBITDA increased to $29 million from $19.3 million in the prior year with segment margins increasing to 65.7% from 59.5%. As we continue to see growing traffic in our cinemas and in malls. We expect to see further recovery in our Media businesses. Our Amusement and Leisure segment had another incredible record breaking quarter. This business segment continues to outperform the pre-pandemic period on a top line and bottom line basis. Segment revenue increased to $71.8 million as compared to $51.2 million in the prior year, and segment EBITDA increased 70% to $13.7 million from $8.1 million in the prior year with combined margins of 19.1%, as compared to 15.8% in the prior year. Our Amusement and Leisure segment, total revenues exceeded pre-pandemic levels coming in at 115% of Q4 2019 levels. G&A expenses increased 2.5% to $16.2 million from $15.8 million in the prior year, primarily due to increased payroll costs as a result of a decrease in wage subsidies and increased costs related to certain digital and technology initiatives, partially offset by reduced litigation and advisory costs. These items are described in more detail in our MD&A. For the fourth quarter of 2022, we reported net CapEx of $20.5 million as compared to $4.4 million in the prior year. Included in the CapEx in the fourth quarter is approximately $4.4 million, related to the distribution of projection assets on the wind-up of CDCP. Full year 2022 CapEx came in at $53 million well below our earlier guidance as we responded to the shifting film slate. For 2023 and beyond, we will continue to be prudent with our growth initiatives. Our guidance for net CapEx for 2023 is reduced to approximately $60 million. Before discussing our liquidity position, I wanted to briefly touch on two additional items taxes and impairment reversals. First I want to remind you of the benefit of the tax asset that was derecognized during 2020 as a result of uncertainties related to the pandemic. As described in Note 8 of our year-end financial statements. We currently have non-capital losses totaling $436 million to utilize against future periods and as such, you should expect minimal cash taxes over the next two years. We continue to evaluate the recoverability of these deferred tax assets that will recognize such assets when and if appropriate. Second, in addition to the deferred tax assets as our business continues its recovery and return to profitability. The reversal or - the portion of previously recognized impairments may be appropriate. During the fourth quarter of 2022, we recognized a net reversal of previous impairments of long-lived assets of approximately $20 million. In other words, a pickup, primarily related to the LBE portfolio. This segment has been experiencing significant improvement in business volumes and operating results throughout 2022, and we - saw results approach or exceed pre-pandemic levels. I'd be happy to answer further questions about these items in the Q&A. However, I like to move on for the time-being and speak to our balance sheet in particular, our liquidity position. For Q4 2022, we reported net repayments, of $5 million under our credit facilities, which left us with $327 million drawn and approximately $204 million available under our credit facilities as at December 31, 2022. We resume financial covenant testing in Q4 and we are compliant under the two leverage covenants with total leverage at 3.69 as compared to a covenant of 3.75 times and senior leverage at 2.15 times as compared to a covenant of 2.75 times. During the fourth quarter, we approached the bank group and receive their support to extend the maturity of the credit facility by one year to November 13, 2024. This extension provides us with additional timing and flexibility during the current turbulent economic environment, as we look forward for opportunities relating to our capital structure and cost of capital. I would now like to address some macroeconomic factors in today's environment, including recessionary concerns, inflation and interest rates. With respect to any recessionary concerns in the economic outlook, it is important to note that the exhibition industry has fared extremely well during past recessionary cycles. Consumers' trade down their out-of-home experiences moviegoing becomes the affordable option. In fact during seven of the last nine recessionary periods box office revenues increased. As we contend with rates of inflation that haven't been seen in decades, it is important to understand the overall cost structure of an organization to way potential impacts. For Cineplex our top four cost categories make up approximately 75% of our overall costs. Film cost is approximately 25% of our overall costs and is 100% variable, based on the related box office revenues. Rents and occupancy-related costs represent approximately 20% of total costs and are typically contractual and fixed in nature. Payroll-related costs are approximately 20% of total costs, and are subject to wage markets and minimum wage impacts. Finally, food costs represent approximately 10% of our overall costs and this is a cost category that is impacted by inflationary pressures. As you can see our cost structure is not as significantly impacted by inflationary cost pressures, but to the extent that we do experience cost pressures that we cannot offset through other means. We are confident Cineplex can turn to pricing as others are doing. The last macroeconomic factor, I want to discuss is the interest rate environment we believe we are well-positioned in this regard. Cineplex is currently in an over-hedged position with our bank credit facility, we have hedges, totaling $450 million at fixed rates between 2.83% and 2.945% maturing between November 2023 and November 2025. In addition, our $250 million high-yield offering is fixed at 7.5% and our convertible debenture is fixed or 5.75%. As we look at our balance sheet to our capital allocation strategy is to remain focused on delevering and strengthening the balance sheet as we navigate towards our target leverage range of 2.5 times to three times. Since fully opening without restrictions in April 2022, we have generated positive addition adjusted free cash. We expect this trend to continue as business volumes increase. And during the next year or so, we will continue to define and move towards our optimal capital structure. So let's recap by segment. In the Exhibition segment product supply issues resulted in box office revenues at 66% of pre-pandemic levels and total revenues at 75% of pre-pandemic levels demonstrating the ability to drive more revenue off of our attendance base. Pre-pandemic this segment had an EBITDA margin of 14.8% in 2019. And given the high-cost structure of the segment, our EBITDA margin was 3.1% in a COVID and product supply challenged year in 2022. We continue to focus on revenue opportunities, such as our online booking fee and cost management, including our fixed costs and as product supply stabilizes. This segment will benefit in the future. In the Media segment, we achieved revenues excluding hardware - sales of approximately 72% of Q4 pre-pandemic levels and reported strong growth in Cinema Media revenue per patron. We are excited for this area as product supply stabilizes and attendance levels return, including continued mall traffic growth which approach 90% of pre-pandemic levels in Q4 despite the challenging influenza season. With the Media segments will fixed-cost base and annualized margins of approximately 55%, this segment is also poised to benefit from further recovery and contribute to overall EBITDA. And finally in the Amusement and Leisure segment, we are already exceeding pre-pandemic levels in revenue, EBITDA and segment margins, which were 19.1% in Q4. We look forward to continued success and growth in this segment. We're also being prudent in managing our CapEx. And as I mentioned earlier, we have reduced our guidance for 2023 CapEx to $60 million from $100 million and we'll focus on projects, delivering the highest and most immediate return. Our investment in the diversified business model is paying-off with the growth in the Amusement and Leisure segment, helping to offset the challenges and recovery in the Exhibition segment. And as Ellis mentioned, there's a lot for our Exhibition business to be excited about. And with that, I would like to turn things over to Ellis for closing remarks.
Ellis Jacob: Thank you, Gord. Looking ahead, we remain optimistic about the future of our business. Our investment in diversification is paying-off as we continue to see growth and record results in our Amusement and Leisure businesses. We have high confidence in the ongoing recovery of content, volume and box office and our team's ability to capitalize on the opportunities that lay ahead. We are excited by the robust slate of blockbuster in international film product for 2023, and off to a great start to the year with January box office coming in at 88% of 2019 levels for the remainder of Q1, 2023, just to name a few. We have the following: Ant-Man and the Wasp: Quantumania which is releasing next week and the pre-sales results so far are fantastic. The Disney's Bollywood feature Selfiee, Screen six, Shazam Fury of the Gods, John Wick: Chapter 4 and for the remainder of the year, we have Super Mario Bros., Guardians of the Galaxy Volume 3, Fastec, The Little Mermaid, Spider-Man: Across the Spider-Verse, Indiana Jones 5 and the Dial of Destiny, Mission Impossible 7, Dead Reckoning - Part One, Dune Part 2, and Aquaman and the Lost Kingdom. In closing, we remain focus on maximizing value across all our businesses and driving shareholder returns. With the backdrop of recessionary concerns Cineplex is well-positioned to provide an affordable and compelling entertainment experience that can't be replicated at home, the consistent discipline we have placed on capital and cost management and revenue and margin generation will serve us well for years to come. That concludes our remarks, this morning and we would now like to turn the call over to the moderator for questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question today comes from Derek Lessard from TD Securities. Derek, please go ahead. Your line is open.
Derek Lessard: Yes, good morning, everyone. Glad to see some positive trends back in the business. My first question is, I was just curious as and Gord, you might have alluded to that in the pricing, but as you look out further on the box office and opportunities around pricing. I know it's difficult to balance. Just wondering if you think there's any opportunity to enhance the pricing model through things like dynamic pricing or through your loyalty program, just curious on your thoughts there?
Ellis Jacob: It's Ellis, and bottom line, as we mentioned in the script, we have basically provided our guests with so many different experiences, which, allows us to, you know, have different pricing levels and helped us drive our BPP higher. And we will continue to look at opportunities and we feel that it's really important for our guests to have that incremental benefit of coming out of their homes and experiencing something they cannot replicate. So we will continue to look at that. And from a pricing perspective, as you know, Cineplex was one of the first companies to introduce Tuesday pricing many, many years ago, and we continue to look at opportunities as it relates to pricing, you know with different age groups with different time of day and all kinds of opportunities that are available.
Derek Lessard: Okay, thanks. And maybe just one last one from me, before I requeue Gord, you did talk about the reduced guidance on CapEx and it being limited high return projects. Maybe you could just add some color to what you're thinking is there maybe the split between - the, spend between theaters and Rec Rooms and other projects on the books?
Gord Nelson: Sure, so we're going to - not broken it down various categories. Historically, so from a maintenance CapEx perspective I'm guiding you in sort of the range of $20 million to $25 million on an annual basis for growth in premiums. So that would include new locations as well as adding premium initiatives roughly in the $15 million to $20 million range. Our immediate business and it's primarily digital media, to the extent that we have new external customers. Somewhere in the $5 million to $10 million range P1AG very similar there's maintenance CapEx levels and this new customer CapEx costs in a range of $5 million to $10 million and Corp another roughly $5 million. So a range of between 50 and 70 and so say the midpoint guidance of 60.
Derek Lessard: Thank you.
Operator: Thank you. Our next question is from Maher Yaghi from Scotiabank. Maher, please go ahead. Your line is open.
Maher Yaghi: Yes, thank you for taking my questions. I have two questions for you guys. I wanted to just go back on Q4 in order to better understand and appreciate what could be ahead. By no means, this is Cineplex, Cineplex fall, but more of an industry situation where we saw a good difference and actual results versus initial expectations on the box office side. Due to some shifts in movie releases. Ellis when we look forward, how would you qualify, your optimism for 2023 in the context of these continuous push-outs of movie releases, as we saw in Q4? I'm just trying to make sure we remain grounded in our expectations. And make sure that we're aligned with - what's happening in terms of movie releases. And my second question is on BPP. So you had a very strong print on BPP. I wanted to understand a little bit. What drove that number, how much of the increase was due to Avatar versus other movies, just so that we can maybe model it properly, as we go back maybe to regular releases rather than a three-hour movie release like Avatar? Thank you.
Ellis Jacob: Yes so, on the question as it relates to product. When you look at the 2023 film slate it looks much stronger than the last three years. From an overall release perspective and also the blockbuster titles that are coming through. I still feel that it's going to take a year or two before we can get back to 2019 levels. But what we are seeing, as I mentioned in the script is these big titles are performing significantly stronger now compared to the original releases. And if that continues, we should have a strong year with less, blockbusters, but being able to deliver strong revenue as we move forward. The attendance will probably be impacted, but how significant that will be will depend on the results we see from some of the big movies that are coming out. So hopefully that answers your question. As we move into the second, third and fourth quarters. The other thing is we have done extremely well in international product and we feel that that's a good opportunity and we will. You know, continue to do that use our data use artificial intelligence to drive more people and more diverse guests into our theaters across Canada. And you saw in the first - month of January we came 88% of the 2019 numbers and Pathaan and The Wandering Earth II are both very big films for us and we did extremely well. And we are continuing to do that as we move forward and there's some other big Bollywood films expected for the balance of the year and also Mandarin, Arabic, Persian and other films Filipino films that we see doing very well for us moving forward.
Gord Nelson: And Maher just you know, we do disclose in the box office revenue discussion in our MD&A, the percentage of box office in any given quarter that comes from premium product, and so this quarter, as I mentioned, it was 50% which showed that the audience, wanted to see sorry - Avatar and some of the other product in the premium offering. Now that compared to 47% last year and 41% for the full year. So - as we as you go in quarter-by-quarter as you'll see, through our disclosures the impacts, the premium mix is having on our overall BPP.
Maher Yaghi: All right, Gord, so I was just trying to figure out. With the mix as it is, how much of it was impacted by Avatar versus, are we seeing a steady increase in premium being sold across the board or it was mainly due to Avatar that - I'm trying to understand.
Ellis Jacob: Yes, so - I would say about 20% of it was due to Avatar.
Maher Yaghi: Okay, great, thank you.
Ellis Jacob: Thank you.
Operator: Thank you. Our next question is from Adam Shine from National Bank Financial. Adam, your line is open. Please go ahead.
Adam Shine: Thanks a lot, good morning. So obviously good run through on the various segments, I don't want to free cash a lot of what was said Gord. But if we take some of what Ellis was talking about in terms of a revitalization of the box office evolving over the course of the next year or two and the extent of prudence in regards to stepping down on the CapEx, Gord for what you said. We saw you squeak by on the other covenant testing in the Q4, and certainly no changes in terms of amendments to the credit facility? So, can you speak just a little bit more in terms of perhaps how you see the early phase of Q1 unfolding Ellis, is talking about more products certainly coming post January. But in the meantime Avatar at least done its job to backfill January so, maybe touch on how you're looking at the positioning around the covenant particularly acknowledging the 25 deep stepped out, number one. And then perhaps number two. Partly related to that, there was a much bigger performance out of other and I know we don't want to fix it on that per se and part of that at least $5 billion related to the booking fee, but how should we think about the other line going forward, because you certainly seem to be getting incremental traction there, then even back in 2019? Thanks.
Gord Nelson: Yes, so thanks Adam so. And I fully expect. The question about sort of what the EBITDA levels are that we would require in Q1 to sort of hit that test and so, in advance of getting that question. The amount is roughly about $36 million. We are very encouraged by the start of 2023, and we released our January box office results in today's press release at 88% of the 2019 levels. And as Ellis mentioned, we're encouraged by the product coming out and in particular for the remainder of the year. So at this juncture, we're encouraged by what we're seeing in January and are encouraged by the products for the rest of the year and then on your second question.
Adam Shine: OpEx.
Gord Nelson: Sorry, is other revenue, yes thanks. I'm just getting the reminder. So thanks so much. So in other revenue for the - and our focus is on to drive other streams of revenue for the organization. And - so elements you discussed the online booking fee Ellis discussed the events our Cineplex Pictures initiative. So I would say, if you were to look at. Where we were in Q4 of 2022, you know I looked back to the pre-pandemic period in Q4 of 2019. We're up right, roughly $14 million in those, those two periods. And it was roughly equally split increase between increases in the online booking fee. Additional margins on derived through scene and additional breakage revenue on our gift cards and corporate certificates coming out of the pandemic.
Adam Shine: Okay, but so Gord you did mention Cineplex Pictures, though, is that, is there something related to that, be it a distribution fee or something else that will be coming through other at some point going forward?
Gord Nelson: Yes, yes, you will see that going forward and obviously we just initiated that just so there's very little come there now. Yes, the Lionsgate, the Lionsgate arrangement was announced in January. So what you saw Q4 was a very small in fact related to other films.
Adam Shine: Okay, I'll leave it there. I appreciate it. Thanks.
Gord Nelson: Thank you.
Operator: Thank you. Our next question is from Aravinda Galappatthige from Canaccord Genuity. Aravinda, please go ahead. Your line is open.
Aravinda Galappatthige: Good morning, thanks for taking my questions. A couple from me, on the media side I think the Q4 margin was sort of particularly attractive. I think if you kind of back into it. I think, north of 70%. I know that even with some headwinds in the media, you seems to be sort of managing the cost. I was wondering if you can kind of give us a sense of what - what we should be looking for. As we look to kind of project that margin forward. And then in terms of ad trends Ellis or Gord, maybe just talk about what you're kind of getting in terms of feedback from the sales team and from clients recognizing the macro, but also sort of your sort of specific targeting capabilities. I'll leave it there?
Gord Nelson: Okay, thanks so, Aravinda. I'll take the first question on the margins. And as we've described, historically, in particularly the cinema media advertising business is a very high margin business. In that segment, we do not - there no charge from the exhibition segment to the media segment for access to the theaters. So, on the increment you can imagine that the revenue, it's very accretive to the bottom line, because it's a relatively low fixed cost business. And the primarily the additional costs and any revenue generated its sales commissions. On the digital place-based media business, there is a technology component to it. There's licensing of technology. So it's a lower margin business then Cinema Media business, but we blend into the number that I described earlier, which is roughly about a 55%. More segment margin for the entire media segment. So as that volume grows in the future that has huge bottom line contributions to our overall results.
Ellis Jacob: And our window on the actual future as we look forward, the numbers are still, you know, very strong and our advertisers at the cinema level basically look at that as the best opportunity to get the message across. And on the Digital Media we've got mall traffic we're turning very close to pre-pandemic levels and it's a great way for our advertisers to get their messages across. So we feel even with the recessionary periods, we feel quite strong, that our business will continue to move forward.
Aravinda Galappatthige: Thank you. And just a quick follow-up, I apologize if I missed something that was said earlier with respect to CPP given sort of inflationary conditions and sort of the execution that you've been able to deliver. Do you sort of see more kind of CPP level growth going into 2003? Do you think that's something as high as the levels are you do you feel that achievable?
Ellis Jacob: Sorry, as high as sort of the historic numbers is that you're asking about, we've seen over the last couple of years?
Aravinda Galappatthige: Yes.
Ellis Jacob: So I think yes it will be accretive.
Aravinda Galappatthige: Yes.
Ellis Jacob: Yes so, Aravinda. I want to just make a couple of comments on that. One is, in the pandemic. I think we all sort of noted and saw that there was an accelerated level of growth in CPP significantly the over levels that we had seen historically so in the mid-teens in certain quarters. At the time we had always said that level of growth. It's not necessarily achievable in a long-term basis. But what we are seeing is that, our customers that are coming in, they definitely want to deal and the overall experience and they want to spend at the concession stands. So now that we have returned and that a number of quarters backup. Sort of a more normalized kind of business without any operating restrictions is you would expect a more normalized level of growth going forward from CPP perspective.
Aravinda Galappatthige: Okay, that's helpful. Thank you.
Operator: Thank you. Our last question today comes from Drew McReynolds from RBC. Drew, please go ahead. Your line is open.
Drew McReynolds: Yes, thanks. Thanks very much, and good morning and congrats on all the moving parts coming back to normal. Two from me one is, Gord, you alluded to the media revenue that you're generating, relative to the attendance for Cineplex Media. Can you just kind of remind us, obviously eyeballs equate the dollars, but what would you expect in terms of revenue uplift as attendance continues to build through 2023? And then second question. You highlight the defensibility of box office which I think we all fully acknowledge on the location-based entertainment and the amusement businesses. Can you just remind us what kind of cyclical exposure or sensitivity, from your perspective, these two businesses could have? Thank you.
Gord Nelson: Sure, so on your first question is. I think one thing from our perspective the cinema advertising has and always will be a compelling medium for advertisers. And as we look forward as Ellis mentioned there's great traction. I mean on confidence employee scheme ads across our screen. The one thing is we're focused over the last number of years on. Our data capabilities and providing advertisers what they're looking for in terms of determining returns and the data related to some of what their campaigns, which is a really compelling and value-added offering that others don't do. We started to introduce and talk about the media - Cinema Media per patron. I'd like to highlight that. Our statistics tends to significantly outperform our peers in particular in the U.S. markets. And that has to do with some of the - the initiatives that we're undertaking to deliver more value and opportunities, the opportunities to our customers in the Cinema environment. And on your second question was related to kind of LBE and one thing I want to talk about is, particularly with respect to P1AG. Some of the seasonality with respect to P1AG and you need to - one thing to remember is that. Primarily related to amusement gaming the route business so this is where our equipment is in third-party venues drives a significant amount of the overall margin that's the higher margin component of the business, it performs stronger during sort of the Q2, Q3, summer months when students are off on school holiday. So when you look at cyclicality and seasonality. That's all trend and as you saw some of the higher margins in Q2 and Q3 in the LBE space. Once we hit the fourth quarter and this mix-shift and the product shift changes a little bit. It goes down, but we're still confident with the 15% to 17% overall blended EBITDA margin for the P1AG business on an annualized basis.
Drew McReynolds: Okay super and sorry, Gord just on the location-based entertainment?
Gord Nelson: Okay, sorry and LBE business.
Drew McReynolds: Yes.
Gord Nelson: So again, we're really pleased with the achievements that we did versus pre-pandemic period. Because if you remember, the business performs quite strong in the summer period, again very similar types of thoughts, it's holiday season. But also during Q4 and particular with the holiday parties and we do a significant amount of our business on corporate parties and events. And so, if you're looking at seasonality in the LBE business, it would be more heavily weighted to Q3 and Q4.
Drew McReynolds: Okay got it. Thank you very much.
Gord Nelson: Thank you.
Operator: Thank you. I would now like to pass back to Ellis for any closing remarks. As we have no further questions.
Ellis Jacob: Thank you, everyone for joining the call this morning. We look forward to speaking with you again in May for our first quarter 2023 results. Thanks again, and see you at the movies.